Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the High Liner Foods Incorporated Conference Call for results of the Fourth Quarter and 2022. [Operator Instructions]. This conference is being recorded today, Thursday, February 23, 2023, at 10:00 a.m. Eastern Time for replay purposes. I would now like to turn the call over to Kimberly Stephens, Vice President of Finance for High Liner Foods. Please go ahead.
Kimberly Stephens: Good morning, everyone. Thank you for joining the High Liner Foods conference call today to discuss our financial results for the fourth quarter of 2022. On the call from High Liner Foods are Rod Hepponstall, President and Chief Executive Officer; Anthony Rasetta, Chief Commercial Officer; and Paul Jewer, Executive Vice President and Chief Financial Officer.  I would like to remind listeners that we use certain non-IFRS measures and ratios when discussing our financial results as we believe these are useful in assessing the company's financial performance. These measures are fully described and reconciled to IFRS measures in our MD&A. Listeners are also reminded that certain statements made on today's call may be forward-looking statements that are subject to risks and uncertainties. Management may use forward-looking statements when discussing the company's strategy and business in the future. Actual operating or financial results could differ materially from those anticipated in these forward-looking statements.  High Liner Foods includes a thorough discussion of the risk factors that can cause its anticipated outcomes to differ from actual outcomes in its publicly available disclosure documents, particularly in its MD&A and annual information form. Please note that High Liner Foods is under no obligation to update any forward-looking statements discussed today.  After markets closed yesterday, February 22, High Liner Foods reported its financial results for the fourth quarter ended December 31, 2022. That news release, along with the company's MD&A and audited consolidated financial statements for fiscal 2022 have been filed on SEDAR and it can also be found in the Investor Center -- Section of the High Liner Foods website. If you would like to receive our news releases in the future, please visit the company's website to register.  Lastly, please note that the company reports its financial results in U.S. dollars. And therefore, the results to be discussed today are also stated in U.S. dollars, unless otherwise noted. High Liner Foods common shares trade on the Toronto Stock Exchange and are quoted in Canadian dollars.  I will now turn the call over to Rod for his opening remarks.
Rodney Hepponstall: Hello, and welcome to our conference call to discuss our financial results for the fourth quarter and full year of 2022. Like last year, I'm joined on the call today by our Chief Commercial Officer, Anthony Rasetta; and our Executive Vice President and Chief Financial Officer, Paul Jewer. Anthony and Paul will share more details on our achievements over the past 3 and 12 months and provide their perspectives on the outlook for our business in 2023.  First, I have the pleasure of reporting the highlights for the fiscal year of 2022 and the fourth quarter. I'm very proud that we have delivered our fourth year of consecutive adjusted EBITDA growth with a 14.9% gain over prior year for a record adjusted EBITDA of $103.9 million. Our seventh consecutive quarter of adjusted EBITDA growth was a 23.3% gain over the fourth quarter of last year. Record sales of $1.0697 billion or 222.2% increase over -- year-over-year and record gross profit of $229.9 million or 15.8% increase year-over-year. The work behind these numbers began in earnest 4 years ago when I joined the company, and we initiated a series of 5 critical initiatives to reposition High Liner Foods for profitable organic growth over the long term.  We integrated our business across the border, enhanced the efficiency of our global supply chain and optimize our product portfolio to deliver value to our customers. A spirit of continuous improvement and high performance held true quarter after quarter and year after year. It brought us to the point last year where we gained market share and outperformed the category on both sides of the border and in both our foodservice and retail businesses, and successfully expanded the reach of our most successful product offerings into new channels and markets.  In addition to the significant groundwork that I just mentioned, 3 factors stand out as playing a critical role in our success last year. The commitment and dedication of our talented global team. Our team continues to rise to the challenge and go the extra mile for our customers and each other, and it shows in our numbers and in the operating momentum we have today.  The diversification of our supply chain and our portfolio in a year of significant global macroeconomic challenge, the flexibility and optionality within our supply chain allowed us to satisfy demand and support our customers. Our investment in inventory allowed us to capitalize on all our work behind the scenes to be in the market with compelling solutions for our customers, while the investment required inevitably impacted cash flow, it was instrumental in our success last year and puts us in a strong position heading into the seasonal peak in demand for seafood during the Lenten period.  Despite the many headwinds from the pandemic, supply and ongoing impact of inflation, we have not veered course from our strategy of offering choice and value-added solutions to our customers and consumers. Whether our customers are designing menus and operating kitchens for large hospitals or schools, QSRs or casual dining or stocking the freezer aisles of grocery stores across Canada and the U.S., our approach remains the same. We provide a tailored solution across price points and the assurance of high-quality, healthy and sustainable source of chef-inspired sources of protein.  In the year ahead, we will pursue growth by continuing to execute against our North American branded and value-added leadership strategy by working to expand where we lead today and to grow our market share in underdeveloped and high potential channels and species.  We will also inspire more seafood consumption by showcasing versatility and potential to operators, health and convenience to consumers and sustainable business practices across the board.  In the upcoming year, we plan to develop and launch innovative and delicious new products tailored to customers and consumer trends. Overall, I am proud of our strong performance and significant progress, and I'm confident in the outlook for our business. We have demonstrated the relevance of our strategy and the resilience of our business through market cycles. And in the year ahead, I am confident in the resilience of our business and believe we are poised once again to deliver year-over-year sales and adjusted EBITDA growth, which combined with strong improvements in working capital will allow us to generate significant cash flow from operations and create value for all shareholders.  At the end of the call, I will expand on the outlook for our business, including our approach to growth in the near term as well as strategic considerations underway to explore accelerated growth that will shape High Liner Foods for future generations.  With that, I'll hand the call over to Anthony to speak to specific achievements and plans in our foodservice and retail businesses. Anthony, over to you.
Anthony Rasetta: Thank you, Rod, and hello, everyone. I'll share operational highlights in our foodservice and retail businesses, our progress executing against our branded and value-added leadership strategy. Our fourth quarter performance successfully leveraged our portfolio to offer solutions tailored to customer and consumer needs. We delivered a strong finish to an outstanding year in our foodservice business. Operators continue to seek out reliability of supply, coupled with the ability to innovate and simplify their menus and operational efficiencies in a challenging labor market. Our value-added portfolio continues to deliver these solutions and drive increased sales and share gains.  We also drove sales growth across our core noncommercial segments and continue to inspire innovation and adoption of seafood in our priority growth areas of quick service restaurants and casual dining. For example, among other new business wins, we secured during the fourth quarter, we were thrilled to secure new business that will see our value-added salmon prominently featured on the menu and in marketing materials in a leading family and value-oriented casual dining restaurant chain in the U.S.  Casual dining is a big growth opportunity for us and data shows that seafood servings in this setting continued to increase, driven by growth in salmon and shrimp.  We continue to see operators switch from commodity purchases to value-added products and sign up for limited time offers to try out new concepts and then move with confidence to become strategic partners with us.  We achieved this with one of our most successful value-added limited time offers last year, and we now have an exciting road map of innovation together.  Looking ahead in foodservice, we anticipate that in 2023, restaurant operators will continue to adjust their business model in order to offset rising labor costs as operators seek to do more with less, they're looking for more than just supply.  In today's challenging environment, we can gain share and win new business because we are not simply selling seafood, we're delivering solutions that are appealing to their consumer while also providing versatility and margin gains for operators. We see this as an ongoing opportunity for our value-added offering in foodservice, and we're working closely with distributors and brokers to ensure that the timely benefits of our value-added portfolio are well understood and available across the industry.  Our team is doing an exceptional job of helping operators to see how our products can strengthen their competitive offering. We are increasingly using customer-specific data to inform this aspect of our strategy, and it is allowing us to pitch concepts and menu items that will lead category growth and inspire consumers to choose seafood more often.  Now turning to Retail. We were also pleased with our fourth quarter performance, especially given the increasing challenges of the operating environment, which was markedly different than the same period last year.  As headlines continue to remind us daily, inflation is leading to price sensitivity across the entire grocery sector. And while frozen seafood has not been impacted by price increases to the same extent as other proteins and grocery items, we experienced a redistribution of volume from premium branded value-added products. The diversification of our portfolio serves the business and the consumer very well in this regard. Against this backdrop, we're pleased to have still grown market share in U.S. Retail, through the breadth of our portfolio with our premium sea cuisine line and our value offerings in Fisher Boy.  Fisher Boy remains very well positioned to be a popular choice for consumers looking for quality protein at an affordable price point. To capitalize on this opportunity and meet demand, we have expanded distribution at key retailers and are investing in targeted marketing and promotional activities. We saw some tremendous results from marketing activation and promotions around Fisher Boy in the fourth quarter, including incentivizing consumers to purchase the product for the first time. We will continue to leverage innovation, omnichannel and shopper marketing to help increase visibility of our Fisher Boy value proposition.  Investment in marketing activation also gives us the benefit of data and consumer insights, which, as I mentioned, is increasingly directing our strategy and will influence product innovations in retail in the year ahead.  Given the pace of change in our post-pandemic world, these insights are critical to ensuring we are developing the menu items and dinner dishes that North Americans will rely on, order and crave in the years to come. Data will also support our work to inspire more seafood consumption, which, as Rod will speak to later in the call, represents a significant growth opportunity for us over the long term. In the near term, we're focused on strong execution as we're just kicking off our peak length season.  With that, I'll now hand over to Paul for an overview of our financial performance.
Paul Jewer: Thank you, Anthony, and good morning, everyone. Please note that all comparisons provided during my financial review of the fourth quarter of 2022 are relative to the fourth quarter of 2021, unless otherwise noted.  Sales volume decreased in the fourth quarter by 300,000 pounds to 58.4 million pounds. In our retail business, sales volume was lower, primarily due to consumers becoming more price conscious, resulting in softer demand for seafood products as consumers switch to lower-cost meal solutions, including to our value portfolio.  In our foodservice business, sales volume was higher due to the reduced COVID-19 restrictions on the company's foodservice customers in the fourth quarter of 2022 as compared to the fourth quarter of 2021, leading to increased demand as well as increased new business in the current quarter compared to the same period in the prior year. The lower sales volume was also partially due to the continued impact of global supply chain challenges on raw material supply in North America. That impacted the company's sales volumes by an estimated 1.8 million pounds in the fourth quarter. This supply shortage, however, is a significant improvement compared to the impact in the first 3 quarters of fiscal 2022 as the company invested in working capital to address the supply chain challenges.  Sales increased in the fourth quarter by $22.4 million or 9.8% to $250.3 million, due to pricing actions related to inflationary increases on input costs, partially offset by the decrease in sales volume as well as a change in sales mix.  The weaker Canadian dollar in the fourth quarter of 2022 compared to the same quarter of 2021, decreased the value of reported U.S. dollar sales from our Canadian dollar-denominated operations by approximately $4.7 million relative to the conversion impact last year.  Gross profit increased in the fourth quarter by $6.2 million or 12.8% to $54.8 million. And gross profit as a percentage of sales increased by 60 basis points to 21.9% as compared to 21.3% in the fourth quarter of 2021.  The increase in gross profit dollars reflects pricing actions and some improvement in the operating efficiencies in our plants, which was partially offset by the decrease in sales volume as mentioned previously and the change in product mix. The weaker Canadian dollar decreased the value of reported U.S. dollar gross profit from our Canadian operations in 2022 by approximately $1.1 million relative to the conversion impact last year.  Adjusted EBITDA increased in the fourth quarter by $4.8 million or 23.3% to $25.4 million. And adjusted EBITDA as a percentage of sales increased to 10.1% compared to 9%. The increase in adjusted EBITDA is a result of the increase in gross profit and a decrease in distribution expenses, partially offset by the increase in net SG&A expenses. The weaker Canadian dollar decreased the value of reported adjusted EBITDA in U.S. dollars from Canadian operations in 2022 by approximately $400,000 relative to the conversion impact last year.  Reported net income increased in the fourth quarter by $3.9 million or 54.2% to $11.1 million, and diluted earnings per share increased by $0.12 to $0.32. The increase in net income was largely due to the increase in adjusted EBITDA, a decrease in share-based compensation expense and a decrease in income tax expense. This was partially offset by an increase in finance costs, as a result of carrying higher inventory levels and higher interest rates and an increase in business acquisition, integration and other expense.  Excluding the impact of certain nonroutine and noncash expenses that are explained in our MD&A, adjusted net income in the fourth quarter of 2022 increased by $3.2 million or 35.2% to $12.3 million. And correspondingly, adjusted diluted earnings per share increased $0.09 to $0.35 compared to $0.26 in 2021.  Turning now to cash flow from operations in the balance sheet. Net cash flows from operating activities in the fourth quarter of 2022 decreased by $47.8 million to an outflow of $55.8 million, compared to an outflow of $8 million in the same period in 2021, due to a significant investment in noncash working capital, in order to mitigate the impact of the supply chain challenges and prepare for the upcoming 2023 Lenten period.  Net debt at the end of fourth quarter of 2022 increased by $114.5 million to $385.5 million compared to $271 million at the end of fiscal 2022, reflecting higher bank loans due to the increased investment in inventory, which was partially offset by lower lease liabilities.  Net debt to adjusted EBITDA was 3.7x at December 31, 2022, compared to 3x at the end of fiscal 2021. In the absence of any major acquisitions or unplanned capital expenditures in 2023, we expect this ratio to be back to the company's long-term target of 3x before the end of fiscal 2023.  As a reminder, during the fourth quarter, we increased the limit on our secured asset-backed credit facility from $150 million to $200 million. All other material terms of the working capital facility remain unchanged. We will continue to utilize our $200 million working capital credit facility as required, and we remain confident in our liquidity position.  I will now turn the call back to Rod for some final remarks before opening up the call to questions. Rod?
Rodney Hepponstall: Thank you, Paul and Anthony. As you've heard, our efforts in Q4 wrapped up a strong commercial and financial performance in 2022. And as a result, we are well positioned to continue to drive commercial success in the year ahead. While global supply challenges are not completely resolved, we are well positioned with our inventory levels and anticipate returning to normalized service levels for customers and inventory levels through the course of the year. As a result of our diverse portfolio, global integrated competitive supply chain, customer focus and forward-looking strategy, High Liner Foods is well positioned to deliver against consumer needs and be resilient against recessionary market dynamics.  We are confident that notwithstanding the potential for an economic slowdown in North America, we can continue to successfully grow the top and bottom line of our business by executing against our North American branded and value-added leadership strategy. We will use data-driven insights to inspire, innovate and expand and over time, transform the category. We are working to expand our market share where we lead today in an underdeveloped, high potential channels and species.  As Anthony discussed, we believe frozen seafood has enormous untapped potential. During a time of significant growth in protein consumption over the past 2 decades, seafood consumption has remained largely flat. There is an increasingly -- increasing awareness of the importance of seafood to brain development and therefore, the need for children to consume more seafood and increasingly consumer desire to consume sustainable protein sources. These have the potential to create significant tailwinds for our category, and we intend to maximize this impact.  I will speak more to the work we are doing to inspire seafood consumption over the course of the year. In the near term, we are doubling down on our efforts to showcase versatility and potential to operators, health and convenience to consumers and sustainable business practices across the board.  In the upcoming year, we are also planning to develop and launch innovative and delicious new products and anticipate rolling out between 10 and 12 new products across the foodservice and retail in 2023. Our product innovations will be tailored to growth species and categories and be designed to expand our reach through targeted distribution. We are already in the process of launching 7 new value-added shrimp in foodservice and we believe that this will be a very compelling solution for operators who will be able to offer a popular, healthy, virtual protein on the menu while reducing preparation time in the kitchen. I look forward to updating you on the 7 new products launched in the next quarter.  We're also strategizing on the best ways to transform the category and expand the upside of our business. We're casting a wide net and considering opportunities related to the future procurement, consumption and marketing of seafood. Of course, there are no assurances that a potential transformation initiative will emerge from this process. And we'll only proceed if we see the value creation potential is superior to the status quo.  We believe we have a lot to offer as a potential partner or acquirer and are well positioned to be patient to find the right fit for us. We will proceed with a strong sense of financial discipline and direct the appropriate time and resources to the strategic consideration that will shape High Liner Foods for future generations.  As we direct increase time and resources to exploring potentially transformational initiatives, it will not detract from our priority focus of delivering branded and value-added solutions to our customers and executing against our organic growth strategy.  We are confident that we will deliver year-over-year sales and adjusted EBITDA growth, which combined with strong improvements in working capital will allow us to generate significant cash flow from operations, further dividend growth and create ongoing value for all stakeholders. As we do so, we will continue to work with our partners and suppliers around the world to ensure best practices and responsible and sustainable sourcing of seafood that serves us to inspire consumption and nourish life.  Overall, I'm very proud of the progress we have made to be able to chart our own course for the future and reward shareholders with stability of strong and stable dividends supported by upside from a proven organic growth strategy.  With that, I'll open the line for questions. Operator, please go ahead.
Operator: [Operator Instructions]. First question comes from Kyle McPhee of Cormark Securities.
Kyle McPhee: I just wanted to start by digging into the volume performance a bit. You said foodservice channel was up, retail channel was down. Can you quantify these moving parts all for us? I'm mainly curious how meaningful that consumer impact is in retail channels.
Paul Jewer: Yes. So Kyle, as we said, foodservice was up. Retail was down. I'd say not significant in terms of either channel. But to your point, we did see the impact on the consumer in retail, particularly as they chose products across the category. And in some cases, traded out of the category to other lower-priced alternatives. However, we're very focused on continuing to grow both foodservice and retail through 2023 and believe we have the opportunity to do so.
Kyle McPhee: Got it. Okay. And can you comment specifically at all on the value brands that trade down trend? I mean how meaningful was that for volume performance in Q4 for those value brands?
Anthony Rasetta: Yes, Kyle, this is Anthony. Thanks for the question. Definitely, we saw a shift in stronger performance in U.S. retail, in particular, in with Fisher Boy that I mentioned earlier. So that's definitely helping us in terms of the breadth of the portfolio. We are seeing a move to discount channels within retail. We're seeing a move to value. We also supply and support private label, which is seeing more of an increase in terms of performance in retail. I think the good news for us actually is that the bulk of our business sits in foodservice actually and that foodservice is remaining very resilient. Even though we thought we were coming into the year with potential recessionary pressures, we're still seeing traffic up, and we're still seeing some really good growth in our growth channels in QSR and casual dining.
Kyle McPhee: Got it. Okay. Just regarding the rate of customer shorting due to supply chain, it was nice to see the big improvement in Q4. I'm wondering now given your big investment in inventory in Q4, does that remaining rate of customer shorting fully go away as you get into 2023, like Q1 that we're in now? Or is that Q4 rate of shorting, a good representation of the new normal for the next well?
Paul Jewer: Well, we do hope we can overachieve the performance that we achieved in Q4. It's early in the quarter. January was a good month in that regard for us. So we'll work hard in the balance of February and March to continue to meet consumer demand. And you're right, we did invest in inventory to put ourselves in that position, particularly important for us, as you know, leading into a significant selling period for us in Lent.
Kyle McPhee: Okay. And then moving over to gross margin percentage. Great performance in Q4. You called out plant efficiencies as one of the moving parts. Can you get more specific on what you mean? Like what's happening at the plant level to help margins at the gross margin level? And is there even more runway for improvement going forward?
Rodney Hepponstall: Yes. Kyle, this is Rod. I would say the improvement in gross margin is certainly supported by the continuous improvement mindset we have in our plants. We are always trying to find ways to get more efficient as we continue to refine the portfolio and support the required efficiencies. I would say while there's not significant leaps in margin expansion due to the efficiencies in the plant, we will continue to do our best to offset inflation and a variety of other things through continuous improvement initiatives in the plants and the entire supply chain.
Paul Jewer: And Kyle, I would also highlight, as we talked about building inventory for Lent, certainly helped client performance as well from an absorption perspective. We ran some good volume in our plants in Q4.
Kyle McPhee: Got it. Okay. Just again on gross margin, what's the impact of that consumer behavior trade down into your value brands? Does that impact your margin mix in a meaningful way?
Paul Jewer: It doesn't impact it in a meaningful way because our margin mix, as you know, varies across customers, varies across the category, vary across the channel, varies across species. So we're comfortable that we can balance out gross margin in the environment that we're currently in and as we have done in different environments over the course of the last couple of years.
Kyle McPhee: Okay. And then just regarding your guidance commentary for 2023, you're calling for the revenue growth, the EBITDA growth. But wondering what you expect at the volume level? Do you expect volume growth year-over-year in 2023, given what's happening in your various channels?
Rodney Hepponstall: Yes. Kyle, I think it's a great point given various channels. As Paul mentioned, we've been resilient over the last several years in being able to flex our sales approach to the retailer foodservice channel. So we're fully anticipating both top and bottom line growth supported by volume growth in 2023.
Kyle McPhee: Got it. Okay. And then just last one for me. Regarding your commodity inputs, the seafood species we buy, is that price starting to deflate at all? Is that a theme for 2023? And if so, will your pricing charge to your clients deflate as well?
Paul Jewer: Yes. No, overall, we're not seeing any significant inflation or deflation across species that can vary a little bit, as you know. But overall, fairly stable from a pricing perspective. And that allows us the opportunity to manage our business and our profitability as we look through the balance of 2023.
Operator: The next question comes from Sabahat Khan of RBC Capital Markets.
Sabahat Khan: Just kind of following up on the commentary earlier around some of the trade down dynamics you're seeing in the market. Just wondering in terms of the outlook for '23, what are some of the levers you might be able to pull if there is some impact on margins or volumes due to the macro? I know you talked about kind of revisiting operations and something makes from that. But I was just wondering what are some of the levers that you might pull on over the course of this year to kind of drive that EBITDA growth regardless of kind of where the macro goes?
Anthony Rasetta: Yes. I think, Saba, to start with, we feel really confident in our investments in our plans. So like Rod talked about, the first thing we want to do is continue to drive volume growth and market share growth through innovation. So we have some great new innovation coming out across the portfolio. First and foremost, in foodservice as the larger part of our business in species in areas where we're underdeveloped. So even if the market is slightly softer, we still are underdeveloped in species like shrimps and salmon. We're underdeveloped in QSR and casual dining. We're underdeveloped in U.S. retail. And our ability to build market share and gain with the strategies that we have in place on innovation and consumer activation, I think, will continue to serve us well through 2023.
Paul Jewer: And I think, of course, Saba, on the cost side, as we talked about, we believe we continue to have continuous improvement opportunities across our supply chain, particularly in what we hope will be a period of more stability in our supply chain compared to what we've been through for the last couple of years. So we'll continue to focus on driving cost down, continue to focus on driving margins and growth, as Anthony talked about.
Sabahat Khan: Okay. And I guess in terms of the portfolio, I know there's been quite a bit of rationalization and optimization over the last few years. Do you think there's still some room even the macro side for some fine-tuning? Or do you think your count and product portfolio are in the way, please?
Rodney Hepponstall: So -- Sabahat, no, I think there's always opportunities as we are focused on consumer and customer demand trends and future outlook. We will continue to optimize our portfolio to ensure that we're hitting all of those and maximizing efficiencies throughout the plant. So I would say for us, that will be always under the offices of continuous improvement, and we'll make those appropriate adjustments year after year.
Sabahat Khan: And then in terms of the kind of activity or the feedback you're seeing from your clients across all the U.S. or Canada retail foodservice. Can you maybe talk about any noticeable differences across some of those channels, one type of a restaurant customer being more, I guess, aggressive one way or another. Just trying to understand maybe some of the dynamics you're seeing and kind of what people are positioning for in 2023 weather it's across the regions or some of the subsegments across the 2 markets?
Anthony Rasetta: Yes. I think the areas where we're focused for growth where we happen to be underdeveloped and are gaining a lot of share and some good headwinds are the areas that are poised to continue to succeed in a recessionary environment in places that are doubling down, specifically QSR and casual dining from a foodservice perspective. So we're having great conversations with some of our QSR partners about continuing to innovate the incrementality that seafood provides on their menu because it is underdeveloped as a protein on many of their menus. And they continue to expect to see really strong traffic coming through their stores. So that's on the foodservice side.  On the retail side, we've done a great job with our value brand in particular, and getting into the value channel, specifically in the U.S. Our strategy is really focused on winning with the winners. And the idea that consumers, which we're already seeing are shifting even more to value channels to discount channels is, I think, a trend that will continue to play out going forward. And in both the U.S. and Canada, we have great product offerings in our portfolio through Fisher Boy in the U.S. and through High Liner in Canada to be able to service those channels. And that's where I think we'll continue to see the growth through 2023.
Sabahat Khan: Okay. Just a couple of quick ones. If we just get the EBITDA margin side, EBITDA dollar is definitely growing, EBITDA margin has been in the sort of, call it, 10% to 10.5% range. If you look out 2, 3, 4 years kind of beyond the current macro, are you able to directionally comment on what do you see as sort of the medium-term potential margin here if you can get the business to kind of the right place with the mix and customer and so forth? Just curious, not looking for guidance, but just a directional perspective on there.
Paul Jewer: Yes. No, I think directionally, as we've said before, 10% is what our target has been. And we believe that allows us to have the right balance of profitability and supporting growth. And part of our job is to make sure we mix that out appropriately to sustain that over the medium to longer term. And now that we've gotten there and been there a number of times over the last couple of years, we're focused on staying there.
Sabahat Khan: Okay. And then just last one on the balance sheet and sort of kind of use of capital. There's obviously been some improvement sort of on the leverage side. But just curious how your priorities may fluctuate just given the macro is a primary focus still on sort of this leverage reduction progress. At what point do you start to look at maybe even things like return of capital in other forms? Or I mean just -- how much of that is sort of set in stone versus how flexible you may be depending on how the operating environment evolves?
Paul Jewer: Yes. No, certainly, our primary focus right now is debt reduction because we're focused on moving through the inventory position that we've built to support the growth in our business in 2023. We're confident we'll do that, and that will generate significant free cash flow in 2023. So that's focus number one. . We'll continue to invest in our plans, similar level in 2023 is what we've targeted in 2022 because we believe organic growth of our business deserves our support from an investment perspective. And as we mentioned earlier, we'll continue to support the growth in the dividend. We have opportunity to do that to get closer to our payout targets. And you should expect us to continue to do that. Above and beyond that, we're -- as we talked about, looking for opportunities from a strategic perspective, and so we want to have a strong balance sheet to support that. And at this stage, that means we're not focused on return of capital in other ways. But after we have success and a few of those other priorities that we -- that I spoke about, then we'll consider that as well.
Operator: There are no further questions at this time. I will turn the call back to Rod Hepponstall for closing remarks.
Rodney Hepponstall: Thank you. To close, I want to thank you for joining our call today. We look forward to updating you with our results for the first quarter of 2023 on our next conference call in May. Please stay safe and well.
Operator: Thank you. Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.